Operator: Ladies and gentlemen, welcome to results conference for the First Nine Months of 2023. And the results will be presented by the Management Board, Tomasz Zdzikot, the President of the Board; Mateusz Wodejko, Vice President for Finance; Marek Swider, Vice President for Production; Miroslaw Kidon, Vice President for Foreign Assets and Acting Vice President for Development; and Marek Pietrzak, Vice President for Corporate Affairs. We also have Mr. Janusz Krystosiak, Head of Investor Relations Department, who will hold the Q&A session. And please note that this conference is also available online and questions can be submitted via mail to ir@kghm.com. Answers to all the questions will be posted online in the results center, the investors kit. Now, let me give the floor to the Board to discuss the results for the third quarter 2023, President Zdzikot.
Tomasz Zdzikot: Thank you very much. Good morning and good afternoon to all those present here and all those who are with us online. I will try to briefly yet comprehensively present our results for the first three quarters of the year. As every quarter, these results are strongly affected by our macroeconomic environment and this is what I'm going to discuss. First, in the third quarter of 2023, the prices, copper prices were quite volatile, ranging from 8,720 per ton, the average level was 8,356. So on the one hand, these prices were higher than in the third quarter of 2022 and the same is true for silver and moly, but quite importantly, the results of our Capital Group are strongly affected by the exchange rate of the dollar. And in the third quarter of 2023, it was 12% lower than last year. Consequently, the average price of copper expressed in the Polish currency was significantly lower than in the third quarter of the year before, as you can see on the bar in the left hand bottom corner. As a global company, one of the most global Polish companies, we operate and trade globally. Hence, our results are strongly susceptible to macroeconomic performance of the world's greatest economies such as the US or China. As you will see in this slide, in these charts, unfortunately, in the third quarter of the year, GDP in Europe has been rather low. Please note the quarter-on-quarter decline, it's quite big. And especially in Germany, the difference is quite clear. When it comes to China, we are often asked about our predictions. We do not publish our predictions. But in this slide, you will note that the inventories and historically and in the Shanghai Exchange, they are quite high and there are no growth or decline stimuli in the Chinese market. But if you look at the green bar that shows the inventories, it shows us that we have record level of inventories. At the end of the reporting -- of this reporting level, it was historically low. So, it's difficult to predict future trends, but clearly, the changes in the yuan to dollar exchange rate prompts China to use domestic resources and in international trade, China is focusing on concentrates. It's building, it's smelting, internal smelting capacity. So, we are glad that we signed another five-year contract with China Metals for the years 2024/2028. As part of this contract, we will be delivering copper cathodes which is our major commodity, and we are happy that we will stay there for another five years. We will be selling over 250,000 tons per copper and the prices of our products will be determined annually. This is something we published today. As we move on, we can see a very interesting chart or table that shows PMI. So, the moods in the industry, it's a soft indicator, but quite important. This is a few years perspective from 2021 to now and green becomes red in a nutshell and right now, we are looking at both Europe and most of the world actually. So, there's a lot of red here which means that we are below the level of 50 which shows that in principle, the mood is not optimistic and this index shows that the opinions, outlooks of managers from some key industries. And Europe is in the middle of that table. Despite all those factors that strongly affect our operations, so we are happy to have achieved stable financial and production performance. On the left-hand side on the slide, you can see macroeconomic data. We've discussed this already. So, the copper price and both in the dollar and in the zloty decreased. Also, the dollar to zloty exchange rate has changed unfavorably, but we are very happy about production results in the Polish operation and President Swider will tell you more about this, but we are very happy to have seen growth in all the categories. These results are for the first nine months of 2023. So, we have more extraction of ore, more copper in concentrate and more metallic silver and gold. Thanks to that, we can stabilize our performance and despite the challenging macroeconomic environment, we can navigate safely and sticking to our strategy. So, despite -- the left-hand side of the slide, on the right-hand side, we can see some good news. Our revenues decreased only slightly by 0.2% and our debt is at the level of 1.2%. In this slide, you can see the financial KPIs as a group. KGHM had over PLN 25 billion in revenues and adjusted EBITDA for the group was 4.2 million of which 3.1 million came from the Polish operations and the profit 1.7 billion, that's for the Polish operations and 836 million for the Capital Group. So, the group is doing well and sticking to the strategy and my colleagues will give you the details. President Szwider.
Marek Swider: Ladies and gentlemen, payable copper production in the group, 527,000 tons and here we have a division into domestic and international assets. Domestic production, 444 and 84,000 tons internationally. And let me focus on the domestic production, because this is what I'm in charge of. When it comes to ore extraction, 23.3 million tons and 1.47 is copper grade in ore which is plus 1.3 year-on-year. When it comes to the production of copper in concentrate, 303.2 thousand tons and the content is 22.5% which is up by 2.7% year-on-year. Electrolytic copper production 444,000 tons and 287,000 tons of that comes from our own concentrate up by 5% year-on-year. In total, 0.2% year-on-year in total. Silver production 1,080 tons up by 8% year-on-year. Quite importantly, the last two indicators, that's electrolytic copper and silver, that's our best result ever for the group. Thank you very much and now, Vice President, Miroslaw Kidon.
Miroslaw Kidon: Good morning or good afternoon. Let me start by discussing our investment program. It's quite impressive, 3.250 billion. Our investments continue as planned. There have been no threats to our plans for this year. As you will note in the slide, we focus mostly on maintaining our production and its further development. Here, let me briefly discuss our investments. As I said, here, we focus on deposit access program and new mining areas. We have prepared, we have opened new mining areas, actually exceeding our plan, which is very important. And we have been quite successful with replacing our machine park. We will have a record level this year. We bought and got delivered 180 mine machines, 21 to Lubin, 72 to Rudna and 87 to Polkowice-Sieroszowice. We obviously continue the efforts in implementing and building new shafts. GG-1, Europe's longest, is already, there delivering fresh air to the miners and we are working on air conditioning systems. 33 megawatts of power for those, they will allow us to maintain the appropriate temperature for the staff working down there. GG-2, the Odra shaft, the work is underway. And then Retkow shaft and Gaworzyce shaft, these are also moving forward. Importantly, the maintenance shutdown at Legnica is now over and as planned, the plant was resumed operations on the 14th of October. Right now, we are calculating the data, the figures for all the repair works. We are analyzing the performance of our maintenance and repair services. We also finished Phase 1 and Phase 2 in the southern quarter. Right now, we are -- we commenced work on tailings slimes management. Simply speaking, all these efforts -- as a result of all these efforts, the quality of tailings delivered to Zelazny Most storage facility will be much more dense. There will be more solids in it. As a result, the storage will be cheaper. And when you have more solid waste, you need less strict embankments. In our Polish operation, we are about to implement a new technology for increasing solid contents in tailings. So that's it when it comes to major investments. Now the next slide that talks about the Deep Głogow facility. This has been an important progress for us when we accessed this deposit. So, as always, we'd like to tell you about how we increase our production from that deposit. And year-on-year, we have, well, the share of production from Deep Głogow has grown by 35%. The slide also shows you concession areas. And let me bring you some news. We have nine domestic concessions, seven for copper, one for hydrocarbons, and one for potassium salts. And quite importantly, an administrative court in Wroclaw ruled -- refused to accept a complaint submitted by a competitor. And that decision ends, put an end to a 10-year dispute over that concession area. Now the floor goes to our colleague specializing in renewable energies.
Tomasz Zdzikot: Thank you. Now, Mateusz Wodejko, Vice President.
Mateusz Wodejko: Thank you. I'm glad to see that we're starting with renewables. They can boast a lot. And the last year in this area is where we developed and enhanced our acquisition and development processes. As for development, as you can see in this slide, connection condition applications have been filed for 88 in photovoltaics and 15 photovoltaics large projects have been applied for in Lower Silesia, close to our technological process plants. And also smaller PV projects are being implemented in Głogow, smelter plant 1, 2, 3, and also some smaller projects. We have successfully completed a large acquisition project. We acquired more than 47 megawatts of solar projects in four target companies, SPVs. So, one is on board already and the other three solar companies are going to be acquired most probably in January. And in quarter four, we signed a preliminary agreement to acquire another project before the RTB for another close to 20 megawatts in solar power, which is to be in a direct vicinity of our technological facilities. A lot of interesting information showing us that renewables are being developed at our company. So, the energy transition is a reality here. There's also a wind farm project here. So, we're working on it. So Radwanice-Zukowice, it's a prospective project for our wind farm. Another topic that is related to energy, that's our SMR project. So, information was published or released last Friday on what the situation is. We have the decision on light water reactor technologies from five developers developing such projects. And we need to add that SMR projects globally are at a developmental stage, R&D projects. So, they have not advanced into implementation. So, we need to be next of a kind, not first of a kind. So, well, this is why we have analytic work, which is ongoing. So, we need to have a transparent and fully competitive project here. So, ultimately, when SMR technology is profitable and implementable, we would like to choose supply of technology that will be most competitive in terms of profitability, safety, and environment. Such a decision will be done in the future when SMR technology is developed. We obtained the basic decision showing that KGHM is a good, reliable investor. The decision is about five light water technology developers. That's the most crucial in terms of nuclear developments at KGHM. And besides, CCGT units are working for steam ahead. We were thinking about some restrictions related to high gas prices, but we were surprised positively with the level of gas prices that we can be using as fuel without such restrictions. Now the key financial figures. The President has outlined them already, the most important ones. The situation on the global commodities market is what it is because of the economic slowdown globally. So, the prices over those three quarters, especially in quarter three, reflected the situation on global markets, and it's much worse compared with 2022 when prices of commodities were high, especially copper. And also the exchange rate, the dollar exchange rate, the exchange rate was weaker compared with the three quarters of 2022, which impacted on our results. So, in these nine months, the copper price in zloty per ton is more than 8% lower than in the three quarters of 2022. And quarter three, the difference is 3% down. But the success is that with this unfavorable macroeconomic situation, we managed to keep the level of revenues stable. And in the case of Polish, Polish copper was higher. EBITDA is 4.235 billion in the group, which is a decent result and more than 3 billion in [indiscernible]. Very good results. Historically speaking, we are referring to the high base that was the previous year. We need to be aware of the economic changes in the economic situation. Sometimes you benefit from high commodity prices and strong dollar. Otherwise, you have a different situation when the macroeconomic situation is not so favorable. Now, group revenues. Well, the group revenues have remained almost unchanged compared with the previous year. So, we were really making up for the negative trends, minus 2 million and minus 81 million for the prices of commodities and exchange rates. So to -- the change was almost 2 billion, which was unfavorable. But we used to increase the volume of sales of our products. So, we need to thank Mr. Swider, and our production has been running very well. And Mr. Kidon, with their active sales, we need to thank them as well, because we've seen this slowdown in the global economy. But we've been selling successfully to those markets where, well, there is a higher premium and lower cost and also the adjustment for derivatives. So, we lost because of that adjustment, minus 254 million. This year, it was more than 400 million and plus a positive change, a huge success. So, this allowed us to keep our revenues at a similar level. When you look at this graph to the right of revenues from contracts with customers, broken down to parts or segments of our group, in the case of Polska Miedz, this is almost 700 million more. We had more of a problem with KGHM International with a negative difference in revenues. But we are trying to improve the situation in KGHM International. Now, costs by nature, an increase by 7% in total. But there are two parts here which influenced that difference. So that is the tax on extraction of some minerals. It increased because last year the Polish parliament reduced the tax. So this year, we didn’t -- haven't had this change of the tax or reduction in tax. So, you can see the slides been changing. So for the nine months, it was 2.797 billion and compared with 2.300 billion in the previous year. Well, it will also be referred to in the questions. And another positive development was 5.597 billion our own metal-bearing materials. So, 900 million less in spending and costs compared with the previous year. So in terms of sales, it was a negative situation. But the prices of concentrate were lower. But as Mr. Swider said, we were trying to optimize our own domestic production from own concentrates. So with such high production, high level of own concentrate, we were able to increase our revenues from these sources. Other costs by nature up by 14%. So mainly labor. So that's the pay, increase in pay, higher costs of materials. And third-party services as the pressure of inflation, because of the domestic and also global situation, these global macroeconomic factors affecting our business and our costs of services we buy materials. And in other quarters, you see that in quarter three, and so it was a significant level. But when you compare it with quarter two 2023 and -- quarter one 2023 and quarter four 2022, you see that we're trying to handle the problem of inflation and mitigate the situation in terms of the cost rises. Well, it's not been rising over these successive quarters of 2023. And C1 is related to what I described in the previous slide. So up by 34% in the group, but it's caused by international. With some exceptional situations, problems with the deposit. Now we're moving to a high quality deposit. So I hope that this is going to improve. And in the case of Polska Miedz up by 26%, the tax costs high because the tax relief is no longer there. As for the other costs, it also impacted the level of C1 in Polska Miedz, but it's calculated in the dollar. The dollar was weaker. And so if we convert that to zloty, the increase is 21%, not 26%. So the dollar exchange rate actually had a strong influence on the figure because of the conversion. Net result now, the change is a lot compared with the basic, compared with the previous year. So 1.940 billion affected the consolidated result. So this includes the profit, which was lower. And the debt figure was affected by the dollar. So the dollar was weaker. So that was a positive influence. So, it did not bring our profit so much down. And other differences, one of events, Oxide project was long dispose of and Franke mine PLN 300 million of difference altogether. And joint ventures, so reversals were lower because of loans compared with the previous year because when you reverse [indiscernible] one side, then you will not be reversing it again. And the cost of core operations, so 2.597 billion because of the pay rises related to inflation. The cost by nature increased by 1.619 billion. And we had a change in stock by 1.014 billion. So, this is why we have this result. But as I mentioned during the previous conferences on the results, we strongly influenced by the changes in the dollar exchange rates. So, it affects our profits. So I would say EBITDA is more representative as a figure showing the actual situation of our company. Cash flows now 1.200 billion at the beginning of the financial year. Now we have 1.403 billion. So, now we have the proceeds from repayments, borrowings, interest pay, dividend, and other. And the circular figure, the safe figure at the end of the year. Now the debt of the KGHM Group, it increased by 0.3 because of a lower EBITDA. But it still remains at a safe level of 1.2 net debt in dollars, 1.151 billion. And we're using debt factoring to improve our situation and optimize the company's cash flows. Quarter 3, 2023 consolidated revenues higher than in quarter 3, 2022. In spite of copper prices in zloty per ton, which were 5%, lower 34,536 compared with 36,469. In a situation where the copper price expressed in zloty is going down and we're increasing revenues, it's telling. It shows that our company is operating safely, trying to show good results to shareholders. Adjusted EBITDA dropped from PLN 1.652 billion to PLN 1.173 billion, but in the Polska Miedz, it was not so significant in spite of the macroeconomic situation. Now the segments within nine months, so the decrease was in Polska Miedz 1.328 billion, and the key drop 1.251 billion in KGHM International. So from change from 786 to these negative results. So this is why the difference. Sierra Gorda, a negative result as well because of the quality of the deposit there. When colleagues were describing that during the previous conferences, that is the nature of our mining operations. Now Polska Miedz, so revenues from contracts with customers increase over the three months despite the minus 8% in copper prices in zloty. This increase result from hedging and also higher sales increase -- an increase by 3% in copper sales and 0.3% up in silver sales. And it's not true that sales are going on because there are customers waiting at the gate. Now we also have to get across to customers to diversify our sales, to find customers, to optimize sales, to enter into safe contracts, to work on liquidity under those contracts. So with this difficult microeconomic situation, we have been able to sell more copper and silver in those higher premium markets. Globally, it shows how successful we have been. Now expenses by nature, you can see the cost of debt and the extraction tax that went up. So, that's up by 7% and 18% if we remove those two factors. And in fact, 18% is less than in the first and the second quarter. And it's actually less than even in the fourth quarter of 2022. Now EBITDA for the Polish operations and the profit for the operations as we have seen already in both KPIs go down, but they remain in a safe zone. If you look at our EBITDA and the profit, EBITDA is close to the second quarter and fourth quarter of 2023. It's not that much lower than in the third quarter last year. And when it comes to the profit, well, it's mostly affected by exchange rates. And what were the contributors to the net profit? On the one hand, we had exchange losses. And that's most -- that's 723. We compensate that with greater increase in revenues, plus by 687. And basic operating expenses, we've discussed these here. We had less production for inventories and a smaller volume of third-party concentrates and less income tax. With smaller profit, you pay less tax. And risk management, market risk management, here it's important to note that our result on hedging instruments and derivative instruments was up by -- it was 279 million. This is unprecedented and we are very happy about this. And we have adjusted our revenues from contracts by 425 million. That's because we have good hedging in foreign currencies and in silver. Also, in the first three quarters of the year, despite the challenges in our international operations, the level of contributions to the parent company was $46.6 million, which is good news. This shows us that even with the challenging environment, international assets contribute to our Polish operations. Thank you very much. That's it for me.
Tomasz Zdzikot: Thank you, Mr. President. And two more slides. That's President Kidon.
Miroslaw Kidon: Yes. Let me quickly discuss production results in Sierra Gorda. Sierra Gorda is -- the way I see it and the way the board sees it, it's very well managed. And year after year, it has been successful in terms of optimizing and increasing its output. There is a lot of potential in that mine. There are good prospects. But nevertheless, if we look at the fact that we have a 12% decrease in payable copper production, this tells us a little bit about the improvements, technological improvements we've been doing there. So, if we disregard copper content information and the content of other minerals in the ore, we would have 2% increase in production from Sierra Gorda, which is good news. And we want to continue increasing output. We are continuing the debottlenecking project, and surely next year we will want to see even more throughput. KGHM International, here the main driver behind the production decrease is the Robinson mine. As I explained on previous occasions, the deposits there are completely different than in Poland. At Robinson, we have a much lower variability of metals in the ore. In open pit mines, the fluctuations are great from several to dozens percentage points when it comes to the content of minerals. And this is exactly what happens in Robinson. We are in a transition phase there. It did -- it continued for the first three quarters of the year. So, it was not only copper content that was lower, but zinc content was much higher. Zinc in collective flotation, it penetrates into the concentrate. And if you have too much zinc, the concentrate will be no longer useful in smelting operations. So, we need to prevent this. So, we need to reduce the processing. And we need to extend the retention time. So we need to effectively extend the flotation time. As a result, we ultimately come up with less production. Good news is that in the third quarter, we have finished the transition zone. And we have dug into proper ore. And our production and throughput figures are back to the levels from 2022. That's it for me. Thank you.
Tomasz Zdzikot: Thank you, Mr. President. And this is where the presentation ends. And now let's move on to our questions, both from journalists present here and those submitted online. Janusz Krystosiak, over to you.
Q - Janusz Krystosiak: Thank you. Good afternoon. Let me start with questions to presidents in charge of production. Lukasz Prokopiuk from BOS Bank asks -- Lukasz asks about the payable copper production target for KGHM in Poland in 2024. Is it realistic to continue with this year's levels?
Marek Swider: Obviously, we are following our strategy currently. We are in the planning stage, budgeting stage. And it's a bit too early to answer questions like this. When it comes to the total production in our domestic assets, then in line with our strategy, we don't want our production figures to be lower next year. But let's wait until planning is completed.
Janusz Krystosiak: Thank you. Now, questions about international assets and their production. Again, Lukasz Prokopiuk. What is the preliminary copper production target for KGHM International for 2024?
Unidentified Company Representative: So as Mr. President Swider has already said, we are still in the budget planning period. So maybe just a quick general comment. I guess, I can say that after we have broken through the transition zone, we are in the proper ore deposit at Robinson. So, surely our production volume will be higher. But just like the other Vice President said, we are still in the budget planning period. And we are prospecting the deposit. And for block caving, we need to do it in five-year windows. But to calculate our metal resources for the next year, we need to have an understanding of 80% of over. In this way, we can reduce the error margin to 5%. And we are still drilling. We are still collecting information. We are still building our model. And we are doing flotation samples. We will use the results to build our production plan for KGHM International for 2024.
Janusz Krystosiak: Thank you. And Pawel Puchalski from Santander asks if the improvement of production volume at Santander International will be lasting, or will it be just a few months?
Unidentified Company Representative: For KGHM International, the improvement will be -- will extend beyond two or three quarters because I don't think we will hit another transition zone anytime soon.
Janusz Krystosiak: Thank you. May I? Another question again from Pawel Puchalski of Santander. And that's about our financial performance. And the question asks about a prediction, but nevertheless, let's ask it. Will the energy prices be lower in 2024? Or what is the range of price reductions you're expecting?
Unidentified Company Representative: Yes. As we've said, we are not allowed to make any forecasts, especially for energy prices. We do follow price trends. We keep analyzing the market. Also in terms of hedging contracts, as for now, I can't disclose any information about our assumptions, because we are still in the budget planning phase. Let me just say that this year, we were happy to see that spot prices of electricity and gas were sold at very good prices compared to our plan. So, we were happy to see, happy to be surprised. So that's good news. And in a way, this also improves our situation. And on that basis, we will decide whether or not to sign purchase contracts.
Janusz Krystosiak: Thank you very much. And I will give the next question to President Wodejko. A question about releasing current capital. A question from Santander and UBS. So, we've had a positive trend in releasing current capital. Can this trend continue in the fourth quarter or next year? Could it be a lasting change?
Mateusz Wodejko: That's a very complex question, especially in KGHM Capital Group, because we have a lot of items in our inventories. We have to approach each of them separately. We have material inventories. We are still in the post-COVID scenario, in the wartime scenario. And there are many gaps in supplies. So, we have to keep our inventories high. When it comes to our process and our semi-finished product inventories or finished product inventories, we are taking the next year's perspective and the perspective of even further years. So, we are also trying to identify the moment when the prices in the market will be the highest and what will be our capability to sell our products in the most optimum period in the highest paying markets. So all that has an effect on the levels of our capital inventories. I guess this has to suffice as an answer because it's hard to judge today about the future levels.
Unidentified Company Representative: Thank you. And I think I will now thank for these questions. Many of them were about our view on the market, our forecasts about production levels and the process of bringing up cash. So board members have already described that. Well, we're not allowed to reveal our predictions or forecasts so much from me. Thank you.
Janusz Krystosiak: Thank you, Director. So if you have no questions from analysts, we may also reply to further questions sent to us on our website. And any questions from the media in the room, please introduce yourself. Andrzej Rembelski, [indiscernible]. I'm asking about the current financial results. Do they have an impact on these projects we have heard about, like the salt tire [ph] manufacturing facility? The local government has frequently mentioned agreements with KGHM also on the project of building a hospital in Lubin here. I think that Mr. Zdzikot, the CEO, is the person to answer this question.
Tomasz Zdzikot: So, the project we presented here, the salt facility, is on its way. We have a team dedicated to that. And this is an important project. So, it's a double purpose project, a business project to have a business line, salt production at KGHM, but also clearly beneficial to the environment. So, there's nothing worrying there. The project is on track. There is a business rationale behind it, and it's also reasonable in terms of the environment, and we will continue with that. As for the hospital you have been asking about, we have this Miedziowe Health Center, which is a hospital we already own, close to a big company in Lubin. And this needs to be developed further. So, the company, health company we own, is also investigating opportunities to expand locally, also to acquire new facilities, new premises. And as the owner of that company, MCZ, we will be listening to the proposals they have. So, the possibilities are growing in terms of the premises and locations they've been already used. So, we're thinking about new premises.
Janusz Krystosiak: [Indiscernible], something that's been touched upon here, but if you can give us more detail about the agreement with China Metals, so the value of the contract, the importance of copper sales, how important this is to KGHM. Mr. Kidon, please.
Miroslaw Kidon: I can answer this question. This is a framework agreement, 50,000 tons of copper and cathodes with the possibility of extending to 70,000. So, we're open to larger volumes as well. Why is this contract important? Looking at the global trends, what's happening in the world, we see a huge increase in the potential in China allowing for the production of cathodes. So, this is why having a presence on the Asian market and a regular partner collecting cathodes from us is very important, because it's too many producers of cathodes in the world. These sales are becoming ever more difficult, complex. This is why we're happy to have a strong presence on the Chinese market. And we have a partner we've worked with for more than 10 years now. We've never had any problems in terms of the organization of this corporation, finances as well. We've built trust and confidence between our companies over those years, and we're going to continue that.
Janusz Krystosiak: Thank you. So we have still some time for one more question. I can't see any. If I may, a question. There are two brief questions sent to our email. So just they need some clarification. [Indiscernible] Lubin 24 is asking, you always providing information for one quarter. Why giving information for a longer period right now?
Unidentified Company Representative: No. It's always for nine months, cumulative results. Well, the last quarter is naturally most interesting for analysts. Now we're talking about cumulative results. So, in the third and fourth quarter, not been presented before, and published yesterday in EBS. CapEx for international investment projects is at 921. It's a small implementation compared with 2.1 billion. But 2.1 billion was the total CapEx. We have to divide it as we talk to investors and analysts. So, it's got to be split into renewables, conventional power, and also investments in our projects, including the foreign projects, because the question was about the power projects and also spending abroad. 2.1 is the total CapEx for the three parts, and not only for foreign projects. So that's for everything.
End of Q&A:
Janusz Krystosiak: All right. Thank you. So that's the end of our conference. So, we presenting results for quarter three and for the nine months of 2023 in March, towards the end of March. We're planning an annual conference to present the results for quarter four and for the entire year 2024. Thank you for today and see you next time. Goodbye.